Operator: Good afternoon, ladies and gentlemen. Welcome to the CorEnergy Infrastructure Trust 2014 second quarter earnings conference call. (Operator Instructions) At this time, I would like to turn the conference over to your host, Katheryn Mueller, Investor Relations for CorEnergy. Ms. Mueller, you may now begin the call.
Katheryn Mueller: Thank you, and welcome to CorEnergy Infrastructure Trust second quarter 2014 earnings call. I am joined today by CorEnergy Executive Chairman, Rick Green; CEO and President, David Schulte; and Treasurer and Chief Accounting Officer, Becky Sandring. An audio replay of our conference call and information included in our press release issued Monday, as well as the presentation materials for this call are available at corenergy.corridortrust.com. We would like to remind you that statements made during the course of this presentation that are not purely historical maybe forward-looking statements regarding CorEnergy's or management's intentions, estimates, projections, assumptions, beliefs, expectations and strategies for the future. All such forward-looking statements are intended to be subject to the Safe Harbor protection available under applicable securities law. Because such statements deal with future events, they are subject to various risks and uncertainties and actual outcomes and results might differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents can be accessed through the Investor Relations section of our website. We do not update our forward-looking statements. At this time, I will turn the call over to CorEnergy President and CEO, Dave Schulte.
David Schulte: Thank you. And welcome to CorEnergy's second quarter 2014 earnings call. I'm pleased to discuss the results of another successful quarter. Our second quarter financial results continued our track record of providing stable dividends, growing our FFO and AFFO, and importantly, expanding our relationships with operating companies, which desire to retain control over their operations, while monetizing real assets on their balance sheet. Turning to Slide 3 of our presentation, let me address some of the highlights of the quarter and confirm our expectations for the balance of 2014. Throughout the second quarter, our investments continued to provide stable and contracted revenues, allowing us to reaffirm our full year annualized dividend guidance of no less than $0.52 per share. As a reminder, this represents a 4% increase over the prior year's annualized amount, and an 18% increase of our dividend as a DTC when we changed our strategy. We also declared our second quarter dividend of $0.13 a share payable to shareholders on August 29. Third, in June, as part of Russell investments annual reconstitution of its U.S. and global indices, CorEnergy was added to the small-cap Russell 2000 Index, the broader market Russell 3000 Index as well as the Microcap and Global indices. We are very pleased with this inclusion and we expect to listing to broadened CorEnergy's exposure across the investment community and bring added liquidity to our shareholders. We also remain very active on the investment side of our business having already committed $65 million of capital in 2014. This includes a secured financing to fund the acquisition and capital improvements for saltwater disposal properties in Wyoming, which was previously announced in the first quarter. In July, however, we upsized that initial investment by approximately 30% and have funded it. Lastly, we're very pleased to announce that we've entered into a non-binding term sheet for a new bank credit facility with anticipated capacity of up to $30 million. We anticipate completing this financing in the third quarter and expect to use the facility thereafter to fund potential acquisitions, capital improvements or other corporate purposes. And we believe that it will provide us with greater financial flexibility, as we evaluate acquisitions to augment our future asset diversification and growth prospects. Turning to our portfolio of assets for the second quarter update on Slide 4. The operating characteristics of the infrastructure asset class, as we are implementing it, include fixed asset in terms of businesses with stable cash flows and limited commodity price sensitivity, potential growth opportunities, experienced management teams and limited technological risk. Each of our holdings listed across the top of the page provide the desirable attributes, underpinning our dividends, which are long duration visible cash flows, which are capable of mitigating inflation risk through the participation feature in our financing structures. There were no surprises in the second quarter with respect to our asset portfolio. In short, our low volatility assets performed as expected. The outlook specifically for Pinedale remains stable. Our tenant, Ultra Petroleum has increased drilling activity and doubled its rig count from two to four in the first quarter. Ultra stated that they expect to run a four rig program for the remainder of 2014. Now, the increased rig count has yet to translate into increased liquids volumes for us to be transported. However, with CPI rent escalations alone, our rents have the potential to increase significantly over the life of the lease for the next 13 years. The second largest asset in our portfolio, the Portland Terminal facility is subject to a 15-year triple net participating lease. Beginning in August, base rent will increase to approximately $5 million per year run rate. Base rent will also increase on a percentage of terminal-related improvement projects, which have already been undertaken and are estimated at approximately $10 million. Assuming such improvements are completed, the minimum lease payment would then be an excess of $6 million per year. We're pleased the progress made at the terminal and are optimistic about the possibility of receiving variable rent once construction is completed. As I mentioned previously, CorEnergy increased its secured financing to Black Bison from $11.5 million to $15.3 million. The incremental borrowings were made available for an upsize of the existing facility from $11.5 million to $12 million, plus a new $3.3 million loan from our taxable REIT subsidiary. We have advanced the full $15.3 million to Black Bison, enabling them to complete their third acquisition of a saltwater disposal property in July. With that update, I'll turn the presentation over to our Chief Accounting Officer, Becky Sandring for review of our financial results.
Rebecca Sandring: Thank you, Dave. Let's now turn to Slide 5. On Monday, we filed our 10-Q and issued a press release highlighting our financial results for the quarter ended June 30, 2014. The financial information presented in the 10-Q should be considered in its entirety. For purposes of this call, we have provided you with a few key financial metrics that we think will be helpful to you in evaluating CorEnergy's performance. We believe that non-GAAP performance measures utilized by REIT, including funds from operations, FFO, and adjusted funds from operations, AFFO, also provides useful insights into CorEnergy's operational performance. This calculation is also detailed in our 10-Q filing. FFO for the quarter ended June 30, 2014, totaled approximately $4.8 million or $0.15 per share. AFFO for the quarter totaled approximately $4.5 million or $0.14 per share. These measures are after-payments made to our non-controlling interests, so are applicable to our common shareholders. We declared a second quarter dividend of $0.13, which is payable to CorEnergy's stockholders on August 29. This distribution is generally flat to the prior quarter's prorated dividend of $0.129. We believe our run rate of FFO and AFFO will allow us to deliver annualized distributions of no less than $0.52 per share. Turning to Slide 6. CorEnergy's total revenues and dividend distributions are shown quarter-over-quarter. We believe that sequential comparisons rather than prior-year comparisons are more representative of where the business is from on a cash flow perspective and that's more relevant to assessing dividend payments. The growth of our portfolio is evidenced by the graph on the fall right, which depicts our total assets. In December 2012, the major increase in total assets is attributable to the Pinedale LGS acquisition. The next major increase occurs in the first quarter of this year, and as a result of the Portland Terminal facility acquisition. The modest decrease seen in the second quarter is attributable to the depreciation associated with those assets. In terms of liquidity, we currently have a $20 million corporate revolving credit facility in place. However, we assigned a non-binding term sheet to replace the company's current revolver. The new facility has anticipated capacity of up to $30 million. We anticipate that our Portland Terminal asset and certain other assets will be eligible collateral, enhancing our financial flexibility within our total leverage range of approximately 25% to 50% of assets. We would expect to utilize balance sheet resources including prudent leverage when available, supplemented with accretive equity issuances as needed for future acquisitions. And with that overview, I will turn it back to Dave to conclude the presentation and lead us into the Q&A.
David Schulte: Thanks Becky. Before concluding the presentation I want to provide a quick snapshot of where CorEnergy stands today on an investment basis. Our enterprise value is approximately $331 million, and represents a 14% increase over the prior quarter. And that's largely attributable to stock price depreciation seen in the second quarter. Our dividend yield today is about 6.5%. Still nearly double the average yield, seen across the NAREIT Equity REITs Index, the Dow Jones Utility Average Index, and an important benchmark, the S&P Global Infrastructure Index. Our dividend rate, alone compares favorably to the total return from these other similarly risked assets. We believe our current return is attractive, when compared to other REITs and utilities, while also offering growth potential to mitigate inflation concerns. I want to turn to the slide entitled, overheard in the corridor, to introduce the financial characteristic, which we believe is at the core of the infrastructure asset class. And what we believe our vehicle provides to investors and that is real yield. Infrastructure investing is intended to provide long duration attractive current payments from cash flows directly linked to revenue streams, associated with the use of an asset. Our rent and financing revenue is directly derived from long-lived fixed asset utilization. And the REIT tax structure enables us to provide tax efficient access to those long duration cash flows in a vehicle that is designed for high payout of income. Now, CorEnergy as an energy infrastructure REIT has established a vehicle that provides access to midstream and downstream segments of the energy industry primarily, and is delivering that in a transparent real-asset based dividend income. By providing access to energy infrastructure assets, CorEnergy offers investors a real yield opportunity. On Sunday, Kinder Morgan announced the end of its partnership requirements to payout most of its cash flow to investors. While we do not believe this is a trend, we are aware that inventors who relied on in the Kinder partnerships for directly sourced, long duration dividends with low correlation may need to look elsewhere. For retail and institutional investors seeking investments with dividend profiles directly tied to infrastructure assets, we think CorEnergy will continue to deliver. The energy sector remained a solid part of the U.S. economy to seek these dividends in the first half of 2014. Prolific North American oil and natural gas production is driving increasing need for new and expanded pipeline infrastructure. There is also a need for further investment in power transmission infrastructure to upgrade our nations aging power grid. This backdrop provides an ample market opportunity for CorEnergy. Finally, on Slide 9. Only last year, we believe we've instilled confidence in the stability of our dividend, while being aligned with stockholder expectations for long-term growth. For the second half of 2014, we plan to continue implementing a discipline and selective investment strategy, which is designed to reduce risks to diversification, while also providing the possibility of distribution growth through our participation features. With that, I'd like to thank you for participating in our call and ask for our operator to open the phone line for your questions.
Operator: (Operator Instructions) Our first question comes from the line of Craig Mailman with KeyBanc Capital Markets.
Craig Mailman - KeyBanc Capital Markets: Just a question, because you guys have obviously benefited from IRS's ruling, for what's considered legitimate to go on a REIT. Just curious, as you guys are out here kind of mining for business, are you seeing any of the companies that you're targeting, are they looking to spinout into a REIT as an alternative? Is that kind of a headwind, do you guys are facing at this point at all?
David Schulte: Craig, we have been talking with the companies for the last several years that have considered the REIT spinout option. And the IRS has produced some recent rulings that have enabled spinouts to occur. That's a different corporate organizational form that is pretty fundamental for some companies, and to accomplish that requires quite a bit of time and an IRS approval. We are not seeing a spinout as a meaningful headwind, as an alternative, that companies were considering. They're mainly considering their regular way, the debt and equity financing options. And we do know that there is a lot of dialogue in the market now about the spinout, but that's been there in the utility industry for years.
Craig Mailman - KeyBanc Capital Markets: And just maybe comment on overall deal flow at this point. Do you guys have anything under LOI? Talk about pricing with the tenure pulling back our people, is that hard to achieve your yield thresholds?
David Schulte: Our deal pipeline has remained in about the same status as it's been throughout the years, somewhere between $50 million and $200 million of transactions at various stages of diligence and in documentation. We don't have anything that we can describe to you in this call. Our pricing is, of course, influenced by the market in general of alternative options for financing for companies. We believe that, because we can provide access to equity capital markets that our cost of capital is reasonable in relation to our solutions. So a 100% financing solution that has the opportunity to be financed in the debt and equity markets, we still believe is competitive when a company is prepared for that kind of an option.
Craig Mailman - KeyBanc Capital Markets: And then just lastly, you had noted the Ultra is increasing drilling up at the Pinedale. At this point, how much do they need to increase that drilling do you think, for you guys get sort of that percent rent increase?
David Schulte: We can't tell exactly. Yes, thanks for the question about the flow. There's still liquids volumes below our threshold of participation. But there is a lag time between drilling activity and the water production that comes off of the wells and there's a compounding effect as well, because water flow is off the wells for the whole life of the well, so we will be in a posture of reporting that as it's becomes visible to us. But just for your information, it's not an immediate reaction where they put a rig on, and we get variable rents.
Operator: Our next question comes from the line of Selman Akyol with Stifel.
Selman Akyol - Stifel: So just a couple of housekeeping items. In terms of your credit facility, on the expansion going up to $30 million, and I guess from $20 million. Is there going to be any change in terms on that?
David Schulte: The interest rate is approximately the same as the rate in our current facility. It has some potential to get better over time. But we're not using our current facility today to any great extent. So the terms that we expect to receive are very similar to the terms of our existing revolver. And it is a revolver not a term loan.
Selman Akyol - Stifel: And then just in terms of sort of the revenue run rate, is this a good rate, if we adjust for the Portland increase going up to, I guess monthly rents of $420,000 or so from $230,000?
David Schulte: Yes. We believe that is a good assumption.
Operator: We have no further questions in queue at this time.
David Schulte: Thank you everyone. We'll get back to work on our pipeline and look forward to talking to you again next quarter. Thanks, operator.